Operator: Good afternoon, ladies and gentlemen, and thank you for standing-by. Welcome to the Sherritt International Corporation's Third Quarter 2014 Results Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) I'd like to remind everyone that this conference call is being recorded today, Wednesday, October 29, 2014 at 2:00 PM Eastern Time. I will now turn the conference over to Mr. Sean McCaughan, Vice President of Investor Relations and Communications. Please go ahead, sir.
Sean McCaughan: Thank you. Good afternoon, everyone. Welcome to the Sherritt International Corporation third quarter 20141 results conference call. Our results were released earlier this morning and a copy of the press release along with the MD&A and full financial statements, are available on our website at www.sherritt.com. Also available on the website is an accompanying presentation on the quarterly results that we will refer to during this call. Today's conference call is being webcast. So in addition to those on the line, anyone may listen to the call by accessing our website homepage and clicking on the webcast link. A replay of the webcast will be available on our website later today. Before we begin our comments, I'd like to remind everyone that today's press release and certain of our comments on the call will include forward-looking statements. We'd like to refer everyone to the cautionary language included in our press release and to the risk factors described in our SEDAR filings. On the call is David Pathe, our President and Chief Executive Officer and Dean Chambers, our Executive Vice President and Chief Financial Officer. We will begin with a review of our results for the quarter and then move into a Q&A session to address any questions you might have. And with that, I'd now like to turn the call over to David Pathe.
David Pathe: Alright, well, thank you, Sean, and good afternoon, everyone. This afternoon, I want to touch on what’s been accomplished so far in 2014 and talk a bit about where we're going from there. With three quarters behind us and one to go, our Metals operations have a good momentum, we’re working to perpetuate our Oil and Gas operations in Cuba, and our Power business has performed well with increased production. In addition, we've been very aggressive with respect to financial discipline with the completion of our successful multi-step refinancing to strengthen our balance sheet and further steps that we've taken to sustainably reduce costs. Dean will talk a little bit more about some of these initiatives in a moment. So turning to Moa, let's review the progress we're making, starting with our core operations at Moa and Ambatovy. Our business in Moa had a strong quarter. We saw significant improvements compared to last year that translated into adjusted EBITDA being up over 250%. This change was driven by both higher metal prices and a new quarterly production record for the Moa joint venture. On the costs side, our net direct cash costs were higher than last year mainly due to two factors, one was a reduction in fertilizer byproduct credits reflecting higher natural gas prices and lower sales due to market timing, and secondly, an increase in the third-party feed costs, which as expected had been higher than they were a year ago. Production levels have improved to more normal run rates following the short-term impact from Moa's move into a new mining area earlier this year. The plant performed well, with nickel recoveries on ore fed to leach at approximately 86% for the quarter, up from approximately 84% the same period last year. Recovery is around 88% for the nine months so far year-to-date and that represents the historical average for us at Moa. We continue to gear up for the construction of our third acid plant, which is expected to significantly reduce our operating costs. During the quarter, we finalized the contract with a key technology provider and are currently working to finalize the contract with a construction contractor. Procurement and mobilization activities continue and we expect to start construction by the end of the first quarter next year. Moving on to Slide six now, we'll talk a little bit about Ambatovy here. Ambatovy has now recorded its second consecutive quarter of positive adjusted EBITDA. This quarter's average ore throughput was 66% of nameplate capacity, ahead of where it was at the second quarter at 58%. Finished nickel production increased to 9,227 tonnes or approximately 62% of capacity, compared to 60% during the second quarter of this year. With respect to metallurgical recoveries, we saw nickel recoveries on ore fed to the autoclaves improved during the third quarter to approximately 88%, compared to 85% during the prior year period. We're also making further progress on the quality of the product. More of our nickel is now meeting LME specifications and we are targeting to receive LME certification in 2015. And further production increases in the quarter were limited by scheduled maintenance turnarounds in two autoclaves in one of our two acid plants in September, as well as ongoing ramp-up issues that we’re currently working through. Notwithstanding these limiting factors, autoclave hours are up. And with greater reliability in the autoclaves, we are now turning our focus to downstream issues. I'll focus on a couple of those now over on Page 7. In addition to the scheduled autoclave and acid plant maintenance, there were two principal circuits limiting greater throughput in production during the quarter. The first was in our raw liquor neutralization circuit. In this circuit, the acidic solution containing the nickel and cobalt is neutralized. Here, additional solids are precipitated out of solution and separated from the solution into thickeners. During the quarter, we had an issue with the settling rates in these thickeners to achieve the clarities in the solution that the design calls for. Process control improvements have eliminated this process problem bottleneck and we are confident this circuit will not limit production the next quarter. The second area was the counter current decantation, or CCD circuit. This is the area downstream from the autoclaves where solid, liquid separation is carried out and soluble nickel is washed from the leach residue. At times when running at higher volumes through the autoclaves, we lose the clarity of the solution in the CCD tanks and have had to scale back production until they recover. This area is currently where our technical resources are almost entirely dedicated. Currently, we are installing modified feed wells to improve slurry dilution and improve settling rates, implementing improved process controls, eliminating excess water from the circuit, improving fluctuant dilution in injection methods and enhancing operator training. There are other actions that will be taken at site during the fourth quarter as well. We are commissioning a second ore thickener to increase the densities of the slurry fed to the HPAL autoclaves. This optimization project will increase densities from approximately 40% to 42%, resulting in a 5% increase in throughput, and it will also give us redundancy in the ore thickening ahead of the autoclaves. We have further planned maintenance in November with two more autoclaves and the other of our two asset plants is coming down for scheduled maintenance. This is similar to the maintenance undertaken in September. By performing this maintenance now, our goal is to minimize the scheduled maintenance in 2015 to position the operation for as clear run as possible in obtaining the production certificate. During the second quarter, we continued to see greater promise of the capacity of the plant. By way of example, while our overall throughput number for the quarter was 66% on a daily basis, about 25% of the days in third quarter were at or above 80%. And with no scheduled maintenance and despite the issues we're having with CCD, we're having quite a good month in October. We're expecting to come in around 3,900 tonnes of finished nickel or about 78% of capacity for the month. I'll talk for a moment about financial completion, moving on to Slide 9 here. Our project financing loans at Ambatovy included requirement by the lenders to achieve certain milestones during a prescribed period of time. The list of milestones is referred to as financial completion. Altogether there are 10 certificates or milestones required in order to attain the financial completion, we've now obtained half of them. Of the remaining certificates the production certificate is the most significant. This production certificate requires us to operate at 90% of capacity for 90 days out of any given 100 day period. This particular certificate is our number one priority in Ambatovy for the next eight months. While on Ambatovy, I do want to speak for a moment about the technical report that we released about a month ago. The last technical report which was completed in 2011 was done before we had any operating results from the mine. We felt it was prudent to update the report to reflect some actual production history and some additional drilling results. While overall metal content is marginally higher as a result of greater ore tonnage, the reality is that the average grade is lower than previously thought. This results from the addition of more lower-grade ore, but also because some of the higher-grade ore to be mined earlier on in the life of the mine is now lower than what the 2011 report indicated. Despite this our focus does not change. We will continue over the life of the asset, as we've done for the last 20 years in Moa, to seek to optimize the mine plan and to maximize ore throughput in finished metal production. Design ore throughput is 5.85 million tonnes of feed to the autoclaves. We will continue to work towards that objective and ultimately find economical ways to exceed that capacity. Finally, our C1 cost profile remains consistent with our previous estimates. With two high-quality assets we will be a low-cost producer and have the ability to weather volatility of metal pricing that is in many in the industry. Before we leave Metal segment altogether, I will just touch on for a moment on the nickel segment and this is Slide 11 in our presentation. As many of you know in January Indonesia, which accounted for about 20% of global production implemented a ban on the export of unprocessed nickel ore. Indonesia sustained the ban since that time and Indonesian officials reiterated the government's commitment to this ban just last month. Offsetting this decrease in supply is stronger-than-anticipated nickel pig iron production from China and continued growth in LME inventories. These factors, together with softness due to typical summer seasonality caused the markets to pull back during the month of September and accordingly average nickel prices in the third quarter were similar to what we saw during the second quarter. We expected to see continued volatility in pricing and that certainly has come to bear in recent weeks. We expect short-term pricing will continue to be driven by headline risks, and that will mean continued volatility. We do however continue to believe that the fundamental drivers of supply and demand are attractive and we expect to see the market move from several years of surpluses to a period of supply deficits. So moving on to our oil and gas business on Slide 12. During the quarter we saw a decrease in gross working interest oil production in Cuba of about 5% compared to the prior-year period. This was primarily caused by a mechanical failure at a well in the Yumuri area, which occurred in the second quarter of 2014. The impact from this well was a decrease of approximately 570 barrels per day in the third quarter. Following the completion of the quarter, a work over was completed and that well is now currently being evaluated. The cost of that work over had an impact of just under $3 a barrel during the quarter and we can expect some further impact in the fourth quarter due to a smaller amount of work over costs carrying over into October. The production impact won't be known until we complete the evaluation. Realized pricing decreased by a little over $1 per barrel compared to the year ago as oil prices softened. And we've seen the oil price come under pressure in October, with Brent trading by approximately $85 in recent days. If that carries on, that will have some impact on our results next quarter. One of our key strategic priorities is to extend the life of our operation in Cuba. In June, we announced that we had extended one of our existing production sharing contracts for Puerto Escondido/Yumuri for an additional 10 years to March 2028. Although, we are still awaiting approval with respect to four new exploratory blocks, we have launched a development drilling program for the new extended area. Now, we drilled one well in Q3, and we're planning to drill two more in the Q4 and between four and six in 2015. Slide 13, we'll just touch briefly on the Power business. Power business more than doubled its adjusted EBITDA on higher electricity volumes and lower operating costs. Electricity production was up 72% this quarter with the benefit of the new large scale Boca Combined Cycle Project that came on earlier this year in February and the absence of any significant maintenance in the quarter compared to what we had in the third quarter 2013. So, we've covered a lot of ground this year and we still have much to do to advance our strategic priorities. In the near to mid-term, we are focused on commencing construction on the Moa acid plant, achieving a run rate of 54,000 tonnes in Ambatovy in 2015 by addressing any limiting factors on further progress to Ambatovy's PAL system and achieving the production certificate required for financial completion, and the last, we'll be focused on development drilling at Oil and Gas operations in Cuba. A couple of other matters just to touch on. Earlier this week, we announced a normal course issuer bid application to the TSX. Having this in place will give us the ability to make opportune market purchases of our own shares, but our primary focus will remain on maintaining a strong liquidity profile. The last development I want to discuss is an internal restructuring we completed yesterday. This impacted approximately 10% of Sherritt's salaried workforce in Canada. The restructuring is in line with Sherritt's business strategy announced earlier this year to focus on cost reduction, making Sherritt a leaner, more efficient and better integrated organization and best positioned the corporation for future growth. These reductions occurred across all divisions, excluding Ambatovy, including about 25% of the employees in Sherritt's Toronto head office. And I do want to acknowledge the contribution that those that have left made to Sherritt in their time here. Furthermore, Sherritt commenced the sale process of some non-operating assets that were identified earlier this year, including the sale of real estate assets for our Toronto head office and our technologies office for our technologies business. They'll be moving to our Metals, Fort Saskatchewan site. Lastly, Slide 15 outlines our outlook for 2014. Only one minor change since the second quarter. As we talked about on Q2, we knew that achieving our previous guidance for the Moa joint venture was aggressive given the production issues we had in the first part of the year, and we've modified that guidance slightly just based on where we now expect to finish the year. We haven't made any changes to Ambatovy guidance, but given production in the third quarter I think it's safe to say that their production may well be in the lower part of that range. With that, I'm going to let Dean make a few additional comments. And then, we'll come back and take your questions.
Dean Chambers: Thank you, David, and good afternoon to everyone on the call. I'll make a few comments with respect to the third quarter results that we released today and will also identify some items that will affect the fourth quarter results. Due to the fact that we equity account for the Moa joint venture and Ambatovy, items such as revenue and cost of sales on our income statement only reflect the performance of our Oil and Gas and Power businesses and the Corporate segment. As a result, we use a number of non-GAAP adjusted measures to reflect the performance of our businesses on a consolidated basis, including Ambatovy and Moa. These include adjusted revenue -- now, this is a new item that we've included in our disclosure this quarter -- and adjusted EBITDA. These adjustments are simply done to include our pro-rata share of revenue and EBITDA respectively in the total to give us an overall number. We also disclosed adjusted continuing operating cash flow per share, which is calculated by taking cash provided by continuing operations and we exclude changes in non-cash working capital and then divide by the number of shares outstanding. I do want to remind you that when you look at our cash provided by operating activity, does not include any cash generated in the Moa joint venture or Ambatovy except when there are distributions to the partners. So if you look at Slide 17, you can see that all of these adjusted measures have improved significantly this quarter, compared to a year ago. This reflects the momentum building at Ambatovy and improved results in the Moa joint venture, largely as a result of higher nickel and cobalt prices offset by higher costs and lower production in Oil and Gas. I do want to note that our third quarter results do include a $12.8 million gain from arbitration settlement with a port operator related to our former Coal business. So despite these improved operational results, we reported a loss per share of $0.17 this quarter, compared to earnings of about $1million a year ago. This difference can be explained primarily from two main factors. First, the recognition of depreciation and amortization at Ambatovy, as we pointed out in our Q2 results in July, now that we report operating results for Ambatovy this includes non-cash depreciation and amortization. Sherritt's share in the third quarter was $41 million and we expect this to continue and to press earnings going forward. And this should be a relatively consistent amount. If you look at the footnotes to our statements in the second quarter and the third quarter, you will see that on 100% basis, Ambatovy incurs about $100 million a quarter of amortization and depreciation. And so our share on a quarterly basis is about $40 million, and I expect that to be relatively consistent. The vast majority of our investment in Ambatovy is depreciated on a straight line basis, there's a very small component that is depreciated using unit of production method. And I don't expect incremental CapEx to have a significant impact. So, I think $40 million a quarter going forward is a good rough guide. The second item is higher income tax expense, which were 18.3 this quarter versus a recovery of 1.4 in the third quarter of 2013. Again, I remind you that income tax expense on our income statement primarily relates to oil and gas and power earnings as Moa and Ambatovy earnings are already after-tax. So the biggest difference is the tax benefit of losses incurred by corporate were not recognized this quarter whereas in the prior year they were recognized. This is essentially due to the fact with the sale of our coal business, the likelihood of being able to use these losses in the future is uncertain. It's always interesting to look at the performance this quarter compared to the immediately preceding quarter as opposed to the prior-year quarter. So, I'd like to talk about the third quarter as compared to the second quarter of 2014. And despite an $18 million improvement in earnings from operations our net loss in the third quarter is actually very similar to that in the second quarter. And if you look at Slide 18, you will see a reconciliation of those results. So the second quarter we had a net loss of $49 million. And if you look at Slide 18, you can see that the improved results at Moa and Ambatovy resulted in about $11.4 million improvement in total after tax. You can see there that the impact of lower revenue and lower performance at oil and gas business, $4.5 million related to the work over costs at the Yumuri well that Dave mentioned, and in this case we had to expense these particular costs. Sometimes they get capitalized, but in this case it was appropriate to expense some. Lower earnings at Fort Saskatchewan primarily due to timing of fertilizer sales, you also see a $12 million impact of foreign exchange, the biggest difference in net finance expense in this quarter compared to last quarter is due to foreign exchange. Higher income tax expense of $5.5 million, this is again related to oil and gas business, where we had some non-deductible foreign exchange losses, some non-deductable expenses and a one-time adjustment. Let's turn to looking at our balance sheet on Slide 19. So far this year we have made considerable headway de-risking, deleveraging and strengthening the balance sheet. Our overarching goal is to maintain sufficient liquidity on our balance sheet to manage through the commodity cycles and any future funding requirements at Ambatovy, and that's exactly what we've been doing. During the first six months of 2014, Sherritt made net repayment of loans totaling $365 million. I expect many of you are familiar with the series of transactions we launched in October to refinance our outstanding public debentures. We completed a tender offer for a total of $400 million of outstanding 2018 and 2020 debentures. We have issued new notes due in 2022 of $250 million. And using those proceeds together with cash on hand we have launched redemption of the 2015 debentures. What's important here is that we reduced our total debt by $425 million, we now our nearest maturity and our nearest refinancing is in 2018. And each of those maturities in 2018, 2020 and 2022 are each of $250 million, greatly reducing our refinancing risk at each of those stages. Once all of this is completed, we will have decreased our total debt by a total of $790 million, we are now on side of all of our financial covenants and we have reduced our leverage to 34% debt to total capitalization. You also notice on our slide that we show, on an adjusted basis, what our cash balance and our debt balance would look like if all of these transactions have been completed on September 30. And so we are left with approximately $500 million of cash on our balance sheet. I also want to mention that this debt repayment does not include the senior debt that is being repaid by the Ambatovy project. Ambatovy repays on a 100% basis US$94 million semi-annually, every June and December. And obviously, our pro-rata share of that shows up in our net investment in associate. As part of our commitment to improving communication, we are always looking for ways to improve our disclosure. I've already mentioned that we've added the adjusted revenue component to our disclosure. We've also, this quarter, included nickel recoveries for both Moa and Ambatovy in our Metal segment. We've also improved our methodology for reporting our Oil and Gas average unit operating cost for Cuba. Our previous disclosure reported average unit operating cost by dividing total operating cost incurred by net working interest production. This methodology was not really relevant because the operating costs were incurred to produce all of our gross working interest production, and so it somewhat distorted the results. And the other thing to point out, of course, is net working interest production is affected by the oil price. And so, you would have a change in operating costs simply due to a change in oil price, and that was also distorting the results. So accordingly, we have changed the calculation so that the average unit operating costs are calculated by dividing total operating costs incurred by gross working interest production, and that's quite frankly just makes sense. And all of our comparative periods have been adjusted accordingly, and if you look at Slide 20 it will show you the impact of this change in methodology. I would also like to point out that this does not impact profit or loss or cash flow, just the calculation of unit operating costs. Lastly, I would like to touch on a few items affecting our fourth quarter results. With the series of transactions we initiated to refinance our outstanding debentures, there are a number of fees, consent fees, dealer fees, obviously with the tender offer. And the call, the 2015, there are redemption fees. And the total of all these is about $40 million and that will be booked in the fourth quarter. Dave mentioned the restructuring, and we will take a restructuring charge in the fourth quarter of approximately $9 million. Lastly, I want to talk about cash funding of Ambatovy. We have provided -- Sherritt has provided funding off our balance sheet to Ambatovy in a total of about $118 million year-to-date. We provided no funding to Ambatovy in the third quarter, so all of that was in the first six months. I do expect some funding of Ambatovy in the fourth quarter. This is partly due, but will be dependent obviously on production and nickel price, but this is partly due to the US$94 million principal payment due on the project senior debt in December. With that, I've covered all my prepared remarks. And I would like to turn the call, John, over to you and to open the line for questions.
Question:
and:
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions) Your first question today will come from Orest Wowkodaw with Scotiabank. Please go ahead. It seems like he is no longer in the line, we'll go with the next question. We have Greg Barnes with TD Securities. Please go ahead.
Greg Barnes : Yes, thanks. I just want a little more clarity on the maintenance schedule going forward. I know you said in the presentation, you don't expect anything, I think, in the first half of 2015. But I get confused over which autoclave is going to be down when, for how long, what the impact on production will be, because there seems to be in this year more shutdowns than I expected?
 TD Securities : Yes, thanks. I just want a little more clarity on the maintenance schedule going forward. I know you said in the presentation, you don't expect anything, I think, in the first half of 2015. But I get confused over which autoclave is going to be down when, for how long, what the impact on production will be, because there seems to be in this year more shutdowns than I expected?
David Pathe: Sure. The shutdowns that have gone on, Greg, we did two in September. We're doing two more in November. And these are our bi-annual maintenance turnarounds that are scheduled on the autoclaves. There has been other unscheduled opportune maintenance done over the last year. The only scheduled maintenance is -- by the end of November, we'll have four autoclaves done. There will be one autoclave down in late January and early February for about two weeks to three weeks, I believe, is the scheduled time, and that is the only scheduled autoclave maintenance between now and very end of the third quarter next year.
Greg Barnes : So one autoclave down in January, one in February?
 TD Securities: So one autoclave down in January, one in February?
David Pathe: No, sorry, two. We've done two. Two were done in September. We're doing two more in November. And then the fifth one will be done, I think, coming down in late January and they'll run into early February.
Greg Barnes : But just one coming down in Q1 of 2015 then?
 TD Securities: But just one coming down in Q1 of 2015 then?
David Pathe: Correct.
Greg Barnes : And nothing more until when?
 TD Securities: And nothing more until when?
David Pathe: Nothing else scheduled until after September 30th anyway.
Greg Barnes : And even with that one reactor down in Q1, that should still allow you to operate close to full capacity, if all else being equal?
 TD Securities: And even with that one reactor down in Q1, that should still allow you to operate close to full capacity, if all else being equal?
David Pathe: From an autoclave perspective, we should have that perspective. We have capability, exactly.
Greg Barnes : And no other maintenance is scheduled in any other part of the plant?
 TD Securities: And no other maintenance is scheduled in any other part of the plant?
David Pathe: Nothing major that will have a real impact on production, the other significant maintenance that we have done and are doing of our two asset plants, one of those had its maintenance turnaround in September, the other one of those is about to start.
Greg Barnes : So, will that impact production in Q4?
 TD Securities: So, will that impact production in Q4?
David Pathe: Yes. In between the two autoclaves and an asset plant all coming down in November that will have an impact on Q4.
Greg Barnes : So next year, there are no acid plants down, no oxygen plants down, just the autoclave in Q1 and then you're done?
 TD Securities: So next year, there are no acid plants down, no oxygen plants down, just the autoclave in Q1 and then you're done?
David Pathe: That's the way we're trying to set ourselves up.
Operator: Your next question will come from Sasha Bukacheva. Please go ahead with BMO Capital Markets.
Sasha Bukacheva : So, I was hoping we could go back to just discussing your initiatives to get the throughput up. The question I had with the second CCD installation, does that require any capital investment beyond what's been outlined in your budgets?
 BMO Capital Markets: So, I was hoping we could go back to just discussing your initiatives to get the throughput up. The question I had with the second CCD installation, does that require any capital investment beyond what's been outlined in your budgets?
David Pathe: No, it's not a material amount of capital to do it. We've done a one feed well modification on the first of the two big CCD tanks and we have the other one in course now, but that's all within the capital budget you've seen.
Sasha Bukacheva - BMO Capital Markets: And that is expected to be completed by December, correct?
David Pathe: That's right.
Sasha Bukacheva : And I'm just curious, because I know you've mentioned these sort of throughput upper-end on good days, but do you have a sense of what's your average throughput in Q3 excluding maintenance?
 BMO Capital Markets: And I'm just curious, because I know you've mentioned these sort of throughput upper-end on good days, but do you have a sense of what's your average throughput in Q3 excluding maintenance?
David Pathe: That's difficult to say. There's variability from day-to-day as we have in the ramp-up, you get variations and where things come down for a few hours or for a day and you scramble to fix whatever has gone wrong and get it back up again. And some of it is because we just haven't had the clarities either in CCD or in neutralizations we've talked about here, where we just had to scale back production as we try and get the clarities back on side of where they need to be. So, it's calculating a sort of an ex-maintenance production throughput rate would require making some assumptions. But certainly we did have stretches in the third quarter where we're running at in the mid 80% range. There are challenges to get some of these circuits downstream from the autoclaves capable of sustaining those levels of production now that we can see them coming out of the autoclaves more consistently.
Sasha Bukacheva : And then with that in mind, with your plans for additional maintenance shutdowns in Q4, do you have a target in mind for the throughput in terms of just ore tonnage or perhaps a range for the tonnage that you expect to put through in Q4 with the shutdowns?
 BMO Capital Markets: And then with that in mind, with your plans for additional maintenance shutdowns in Q4, do you have a target in mind for the throughput in terms of just ore tonnage or perhaps a range for the tonnage that you expect to put through in Q4 with the shutdowns?
David Pathe: I don't have a number for you off the top of my head. I mean you'll be able to see in terms of finished nickel production, you got our annual guidance there and you'll have a nine-month year-to-date number. You got a sense of where we are in October. And so, we'll be looking to get up into the lower-end of that annual guidance range there. And ore throughput, we'll be looking to improve a little bit on the third quarter, but it won't yet be all we think we're capable of because of those maintenance turnarounds in November.
Operator: Your next question will come from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw : I apologize if this has been asked already, but do you have a sense of when you think, based on current nickel pricing, Ambatovy will become free cash neutral to Sherritt? I know you previously talked about 2015. Do you still think that's possible?
 Scotiabank: I apologize if this has been asked already, but do you have a sense of when you think, based on current nickel pricing, Ambatovy will become free cash neutral to Sherritt? I know you previously talked about 2015. Do you still think that's possible?
David Pathe: So, we were sort of forecasting based on stock prices a few weeks ago, so that would be kind of mid 2015, certainly losing $1 off to nickel price or so, it has an that adverse effect on that. But it still will be in that range but it will certainly be dependent on what happens to the nickel prices over the next nine months. You can calculate based on what we'll be looking to produce, what the impact is on cash flow of $1 a pound in the nickel price.
Orest Wowkodaw : And is it fair to say that you're probably looking at a pretty hefty cash infusion for the fourth quarter of this year given that debt repayment there?
 Scotiabank: And is it fair to say that you're probably looking at a pretty hefty cash infusion for the fourth quarter of this year given that debt repayment there?
Dean Chambers: Orest, this is Dean. So the debt repayment is US$94 million, so you could take our 40% of that, so that's roughly 40 million. How much we would have to fund as a result of the current nickel price in production is hard to guess. I think it could certainly be, say 60 million or something like that in that range, next quarter, but that will depend on production and nickel price.
Orest Wowkodaw : And finally, I know your completion tests are due on production, I think by the third quarter of next year. Can you just remind everybody what would happen if the Ambatovy does not meet the completion tests in regards to production?
 Scotiabank: And finally, I know your completion tests are due on production, I think by the third quarter of next year. Can you just remind everybody what would happen if the Ambatovy does not meet the completion tests in regards to production?
David Pathe: Orest, I mean, legally, it means that the lenders would have the ability to call the loan. I do want to say, we have an ongoing communication and discussion with these lenders. They have an independent engineer who is onsite every quarter. In fact, the independent engineer and the lenders are onsite this week. And so, they're very, very much up-to-date with the status of ramp-up and so on and I think are generally comfortable with our plans so far. The other thing I would say is that these lenders are primarily development banks and export credit agencies, whose fundamental purpose is to help this project develop and provide the benefits to Madagascar. So, I do expect that if we need to make some adjustments, that we will have those discussions with the lenders. In 2013 when we extended the completion due to the delays in construction, we paid a modest fee to have it extended for two years. So, I think there is a legal implication, but I really don’t lose a lot of sleep over our ability to work with the lenders on whatever the outcome is next year.
Operator: Your next question on the line will come from Anoop Prihar with GMP Securities. Please go ahead.
Anoop Prihar : Good afternoon. In the MD&A, you make mention of potentially looking to sell some non-core assets. I was wondering, can you give us a sense as to what the proceeds from that sale might be and when you may be in a position to realize the entire amount?
GMP Securities: Good afternoon. In the MD&A, you make mention of potentially looking to sell some non-core assets. I was wondering, can you give us a sense as to what the proceeds from that sale might be and when you may be in a position to realize the entire amount?
David Pathe: The non-core assets that we're talking about there are primarily our office building here in Toronto and the building that our Technologies business operates out of. In terms of expected proceeds, we've retained an agent for this building and they have given us some indication of ranges of what we might expect. But given that that's going to be the subject of negotiation for us with one or more potential purchasers in the next couple of months here, I think I'm going to wait, Anoop, until we’ve got a deal and then we'll let you know what we get.
Operator: (Operator Instructions) And we seem to have no further questions at this time. I'll turn the call back over to management for any closing comments.
Sean McCaughan:  Thank you, Operator. We look forward to speaking with you all again in February with the release of our fourth quarter 2014 results. Thank you, everyone, for participating in the call today. And please feel free to contact us with any follow-up questions.
Operator: Ladies and gentlemen, that does conclude our conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.